Operator: Good day. Thank you for standing by. Welcome to Twist Bioscience's 2025 First Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please note that today's conference may be recorded. I would now like to turn the conference over to Angela Bitting, SVP of Corporate Affairs. Please go ahead.
Angela Bitting: Thank you, operator. Good morning, everyone. I would like to thank you for joining us for Twist Bioscience's conference call to review our fiscal 2025 first quarter financial results and business progress. We issued our financial results' press release before the market and it is available at our website at www.twistbioscience.com. With me on the call today are Dr. Emily Leproust, CEO and Co-Founder of Twist; Adam Laponis, CFO of Twist; and Dr. Patrick Finn, President and COO of Twist. Today, we will discuss our business progress, financial and operational performance as well as growth opportunities. We will then open the call for questions. We ask that you limit your questions to only one and then re-queue as a courtesy to others on the call. This call is being recorded. The audio portion will be archived in the Investors section of our website and will be available for two weeks. During today's presentation, we will make forward-looking statements within the meaning of the US federal securities laws. Forward-looking statements generally relate to future events or future financial or operating performance. Our expectations and beliefs regarding these matters may not materialize and actual results and financial periods are subject to risks and uncertainties that could cause actual results to differ materially from those projected. These risks include those set forward in the press release we issued earlier today, as well as those more fully described in our filings with the Securities and Exchange Commission. The forward-looking statements in this presentation are based on information available to us as of the date hereof, and we disclaim any obligation to update any forward-looking statements except as required by law. We'll also discuss adjusted EBITDA, a financial measure that does not conform with generally accepted accounting principles. Information may be calculated differently than similar non-GAAP data presented by other companies. When reported, a reconciliation between GAAP and non-GAAP financial measures will be included in our earnings documents, which can be found on the Investors section of our website. With that, I'll now turn the call over to our CEO and Co-Founder, Emily Leproust.
Emily Leproust: Thank you, Angela, and good morning, everyone. We are pleased to report yet another quarter of strong sequential growth in both revenue and gross margin, demonstrating our unwavering progress towards the milestone of adjusted EBITDA breakeven and subsequent growth. Driving our success is our cutting-edge DNA synthesis platform, a breakthrough innovation that not only powers our business, but also positions us to capitalize on a wide area of market opportunities. This platform is proprietary, differentiated, scalable and adaptable. Importantly, the platform serves as the foundation for every product group across the company. Years ago, we set an ambitious yet clear path to profitability and today, we are proud to be delivering on that promise. Through disciplined execution and the momentum we have built across our initiatives, we will remain firmly on course to achieve adjusted EBITDA breakeven without raising capital while continuing to invest in profitable growth opportunities for the future. Getting into the financials, we exceeded our guidance for revenue and margin, reporting another quarter of record revenue of $88.7 million, an increase of 24% year-over-year and 5% sequentially. Gross margin for the quarter came in ahead of our guidance at 48.3% compared to 40.5% for the first quarter of fiscal 2024, demonstrating the leverage of fixed cost with higher volume as well as our ongoing commitment to continuous improvement and margin expansion initiatives. In addition, this is another quarter of showing that 75% to 80% of the incremental revenue on average drops the gross margin line. Revenue for SynBio increased to $34.4 million, an increase of 28% year-over-year with the growth in this product group reflecting a diverse global customer base. We continue to see sequential growth in our Express portfolio, both in revenue and number of net new accounts. We continue to push our turnaround time with the majority of gene fragments shipped within two days and clonal genes shipped within four days with the full Express portfolio benefiting from this speed. Our ability to deliver product quickly at a reasonable cost expands our customer base and also is extending our wallet share within existing accounts. With our speed and price, we have seen new applications and innovations from researchers across the globe and we continue to be inspired by their drive to improve health and sustainability. For NGS, we reported $48.6 million in revenue, an increase of 23% year-over-year. The continued strength was driven primarily by customers commercializing liquid biopsy and rare disease assays. In addition, we see initial uptake in emerging applications of our differentiated library prep products along with other workflow components as customers choose to supply all reagents between the sample and the sequencer. And during the quarter, we saw a third very significant conversion from microarray to Twist plus sequencing, this one in human health. By maintaining our sequence agnostic approach, meaning our workflow is compatible with different sequencers based on our customers' preference, we remain a key partner providing NGS workflows for many different applications in addition to liquid biopsy and minimal residual disease. Turning to Biopharma Services, our revenue increased to $5.7 million with orders of $5.9 million. We remain cautiously optimistic as the funnel of opportunities continues to build. By leveraging our strategic fit across our SynBio and Biopharma Services portfolio, we continue to remain focused on delivering valuable services for our partners. Our data storage team continues to advance development of the technology working with water-based enzymatic chemistry to synthesize DNA on our CMOS-based chips for the terabyte-scale product. I would now like to turn the call over to Patty for commentary on gross margin and innovation.
Patrick Finn: Thanks, Emily. As we look at where we've improved margin, we continue to see a majority of the improvement driven by revenue growth, while holding our fixed operating expenses relatively flat. In addition, we continue to identify incremental areas of improvement in cost. One example implemented in the first quarter is related to plastic tips. With our extreme automation, we use a large number of tips in our processes. In 2024, we identified an alternative technology that was compatible with our processes and allowed us to maintain performance in sample quality while significantly decreasing our cost. We implemented a new approach towards the end of the calendar year and we are now seeing the pull-through of those savings as one more sequential step in our positive gross margin trajectory. Looking forward, we have a pipeline of activities that we anticipate will add to our gross margin incrementally while maintaining or improving the product benefits. In addition, we've talked about enzymology as the future growth driver for the business. We're applying our innovative platform to identify proprietary enzymes that deliver performance advantages within a specific product that we offer or that optimize our workflow for a particular application. We also expect gross margin leverage from these internally developed enzymes. Importantly, we see significant runway to leverage our synthesis portfolio to screen, optimize and implement new enzymes used within our current and future offerings with minimal investment required and significant resulting ROI. As we approach adjusted EBITDA breakeven, our focus will shift seamlessly to achieving cash flow positivity, maintaining our momentum while strategically investing in profitable growth opportunities powered by our relentless innovation engine. At this time, I'd like to turn the call over to Adam to discuss our financials.
Adam Laponis: Thank you, Patty. Revenue for the first quarter of 2025 increased to $88.7 million, growth of 24% year-over-year and approximately 5% sequentially. Gross margin came in higher than expected at 48.3%, primarily due to increased revenue and volume leverage on our platform. SynBio revenue increased to $34.4 million, growth of 28% year-over-year. NGS revenue for the first quarter grew to approximately $48.6 million, an increase of 23% year-over-year and 7% sequentially. For the quarter, revenue from our top-10 NGS customers accounted for approximately 39% of NGS revenue. We served 606 NGS customers in the quarter with 147 having adopted our products. For Biopharma, revenue was $5.7 million with orders of $5.9 million. We had 89 active programs as of the end of December 2024 and we started 67 new programs during the quarter. Looking geographically. Americas revenue increased to approximately $53.7 million in the first quarter compared to $44 million in the same period of fiscal 2024. Growth of 22% year-over-year. EMEA revenue rose to $28.3 million in the first quarter versus $21.2 million in the same period of fiscal 2024, growth of 33% year-over-year. APAC revenue increased to $6.7 million in the first quarter compared to $6.3 million in the same period of fiscal 2024, growth of 6% year-over-year. China continues to be a relatively small portion of our revenue at approximately 2% of total revenue for the first quarter of fiscal 2025. Moving down the P&L. Our gross margin for the first quarter increased to 48.3%, an improvement of almost eight margin points versus the first quarter of fiscal 2024, reflecting our strong revenue growth as well as our continuous process improvements while holding expenses relatively flat year-over-year. 81% of revenue growth compared to Q1 FY24 dropped to the gross margin line. Operating expenses, excluding cost of revenues for the first quarter were approximately $77.5 million compared with approximately $75.9 million in the same period of 2024. Operating expenses included approximately $6.6 million for data storage in the first quarter. Q1 FY25 includes annual merit increases as well as payment of FY24 cash balances. Looking at our progress on our path to profitability. For the first quarter of fiscal 2025, adjusted EBITDA was a loss of approximately $16.3 million, an improvement of about $11.5 million versus the first quarter of fiscal 2024. Cash flow from operating activities continues to improve and we are driving the adjusted EBITDA breakeven. We ended the quarter with cash, cash equivalents and short-term investments of approximately $270.8 million, inclusive of the $15 million from XOMA during the quarter versus $276 million as of September 30. We are increasing our guidance for fiscal 2025. We are increasing the total revenue guide to $372 million to $379 million, up from $367 million to $377 million, now indicating growth of approximately 20% at the midpoint year-over-year. We are increasing SynBio revenue guidance to $144 million to $147 million, growth of approximately 17% to 18% year-over-year. We are increasing revenue guidance for NGS revenue to the top of the range of $205 million to $209 million, growth of approximately 21% to 24% year-over-year. We are increasing Biopharma revenue guidance to $23 million, growth of approximately 13% year-over-year. For Q2 fiscal 2025, we expect total revenue of approximately $91 million to $93 million, growth of approximately 21% to 24% versus Q2 of fiscal 2024. SynBio revenue of approximately $35.5 million to $36 million, growth of approximately 19% to 21% year-over-year. NGS revenue of approximately $50 million to $51 million, growth of 23% to 25% year-over-year. Biopharma revenue of approximately $5.5 million to $6 million. For the full year fiscal 2025, we expect gross margin of approximately 49% with quarterly sequential improvements in Q4 fiscal 2025 gross margin over 50%. We expect adjusted EBITDA loss of approximately $55 million to $60 million for fiscal 2025, an improvement of approximately $35 million to $40 million versus fiscal 2024. We expect Q2 fiscal 2025 adjusted EBITDA loss to be approximately $16 million with sequential improvement in subsequent quarters. With that, I'll turn the call back over to Emily.
Emily Leproust: Thank you, Adam. At Twist, we're often asked what makes us successful in this difficult market environment. I love this question because I get to talk about all the things that makes Twist different. Our success is not attributed to a single factor, but a combination of groundbreaking innovations and strategic investments. At the core is our pioneering technology which miniaturizes chemistry and enables DNA synthesis on a silicon chip, giving us a cost and scale advantage unparalleled in the industry. To-date, we've invested more than $1 billion to create the infrastructure, team and platform necessary to support our current achievements and propel future goals. Our innovative platform not only provides the foundation to launch differentiated products, but also empowers us to industrialize custom solutions at scale. Our relentless focus on innovation, paired with a deep understanding of our customer needs and end markets, shapes a product roadmap that delivers meaningful impact. We've built efficient and scalable sales channels, standardized and automated processes for operational excellence, and digitized workflow to ensure agility and efficiency across our supply chain. This commitment to excellence extends to a diversified product groups, market and revenue channels which mitigates risk while maximizing opportunity. By embracing customer diversity and market resilience, we have established a robust and adaptive revenue base. Our forward-thinking operations group complements our commercial prowess by focusing on continuous process improvements to expand capacity and drive gross margin growth. Importantly, the heartbeat of Twist is our incredible team. Our employees bring together expertise from diverse disciplines chemistry, biology, physics, bioinformatics, silicon engineering, chemical engineering, hardware engineering, electrical engineering, software development, finance, legal, human resources and more. Our interdisciplinary collaboration fuels our mission to deliver products that improve health and sustainability. Guided by a shared vision and a deep commitment to serving our customers, we continually overcome challenges and break barriers. Looking ahead, we remain steadfast in our mission to push the boundaries of what's possible. We will continue investing in research and development in a fiscally responsible manner, creating products that not only drive profitable growth, but also deliver values to our stakeholders. With discipline and determination, we are firmly committed to achieving adjusted EBITDA breakeven and delivering long-term growth. Together, we move forward, innovating, growing and building a better future. At this time, let's open up the call for questions. Operator?
Operator: Thank you. [Operator Instructions] And our first question coming from the line of Matt Sykes with Goldman Sachs. Your line is now open.
Matthew Sykes: Hi. Good morning. Thanks for taking my questions. Maybe just to start out, could you just talk about some of the mix shift you're seeing in SynBio towards Express genes and what your expectations are for the contribution over the course of the year and any progress you've made with that product, specifically with gene makers?
Adam Laponis: Hey, Matt, this is Adam. Thanks for the question. Happy to chat about it. We are seeing sequential improvement in the Express gene revenue quarter-on-quarter and what we're also seeing as we've hit on it, I think previously is it's not longer just Express genes, it's the Express portfolio. And so what we're seeing really is where in past someone might have bought fragments from us and now they're buying Express genes or they might have bought Clonal genes from us and now they're buying Preps or IgG Express. And so having, that full Express offering is really enabling us not only to expand our wallet share with existing customers but really move folks up where they might have been a previous buyer of genes and a maker of IgG, where now they are a buyer of IgG. So we're seeing that shift as well as we're seeing the continued improvement in the number of new customers coming into the business for the Express offering.
Matthew Sykes: Got it. And then just for a follow-up, just given the adjusted EBITDA beat, how are you thinking about the path to profitability in terms of timing? When do you plan on revisiting that view just in terms of what you've put up in terms of adjusted EBITDA and gross margin expansion?
Adam Laponis: Matt, great question. And then we are committed to being sequential improvements as we move forward. And we've talked about being ahead of the 50% gross margin by Q4 and continuing to march down that path. I think coupled in our growth in revenue and that expansion in gross margin with discipline on the OpEx line like we've had for the last number of years. It can pretty much back into where things may end up, but we have not given that exact timeline and we are steadfast in our north star of not going back to the market for any additional equity.
Operator: Thank you. Our next question coming from the line of Luke Sergott with Barclays. Your line is open.
Luke Sergott: Great. Thanks, guys. A couple here. Can you first talk about I get a lot of hits on this one. On your Canada-Mexico exposure and how you're thinking about potential tariff impacts there? I know that there's some chatter on like an $800 million -- less than $800 million loophole being closed and you guys I assume they have less than a lot of your genes are shipped at less than $800 million. So just help frame how you guys are thinking about that with the policy?
Emily Leproust: Yeah, thank you, Luke. So just to set the fact that we know, so now there's a 25% tariff on DNA, sorry, on goods coming from Canada and Mexico and there's an additional 10% tariff on goods coming from China and there is, like you said, a removal of the de minimis rule where if you have a package that comes into the US that's worth less than $800, in the past, it was not subject to tariffs, but now it is. What that means for us is, since we manufacture 100% of our products in the USA, that means that the price for our products in the USA stays the same. But our competitors that produce outside of the US, they will have to, usually they come through directly from China. They will have to pay the 10% tax on DNA from China plus the 6.5% tax that was there before and without the de minimis rules. And so what that means is if there was a package coming from China from a competitor that was worth $500, there used to be no tariff and now there's a 16.5% tariff on it. So it's definitely a headwind for them. We mentioned it before that we'll win by winning. Our products are better, faster, higher quality, and so we win by winning. But it probably will be a headwind for them as price is a significant consideration for these customers that want to buy DNA. Frankly, there are two questions for me. When and how much? So the speed is very important. Best-in-class with Express. And in terms of price, we were leaning, but I think there's some headwinds for them. In terms of retaliation, we have a very, very limited exposure to Mexico. As far as if we look at Canada, it's a slow, small couple of percent. And as far as we know, in the Canadian retaliatory tariffs, there are no tariffs on DNA. So our DNA going into Canada is not subject to a Canadian tariff. So in the US, we're fine and potentially some headwinds for our competition. And as far as maintenance for now, we are still fine. We'll follow closely. At the end of the day for us, again, just the headline I would say is [indiscernible] we're going to win. Our flows are better, so we'll win by winning.
Operator: Thank you. And our next question coming from the line of Subbu Nambi with Guggenheim Securities. Your line is now open.
Subbu Nambi: Hey, guys. Thank you for taking my question. My first one is, how much of this Express dynamic was responsible for better-than-expected margins fully realizing that this dynamic is likely to stay for the long-term. And then I have a follow-up.
Adam Laponis: Subbu, I think what we said is clearly expressed as having a contribution to the margins. What we're seeing primarily is as we continue to expand revenue and grow revenue, that's the majority of the driver of the gross margin expansion. And so, when we talk about it 75% to 80% on average of the revenue growth dropping in the gross margin, that's the primary driver of the gross margin expansion independent of whether it's coming from the SynBio side or the NGS side of the business. It's about equal. Obviously, the Express and also some of the initiatives Patty's talking about for process improvement are adding to that and we see it being sustainable and robust moving forward. So we're excited about where we are and we expect it to continue.
Operator: Thank you. And our next question coming from the line of Catherine Schulte with Baird. Your line is open.
Catherine Schulte: Hey, guys. Thanks for the questions. Maybe just to continue on that topic, can you just talk to gross margin progression throughout the year? And for the process change around tips that Patty mentioned, how much could that benefit margins in your fiscal second quarter and any other projects like that planned throughout the year that you could talk about?
Adam Laponis: I'll start and then maybe Patty can talk to some of the operational activity that's going on. In terms of the gross margin forecast and expectations, we expect our revenue to sequentially improve every quarter and with it, we expect our gross margin to continue to sequentially improve. We raised the midpoint of the guide to 49% for the year and we expect to be ahead of the 50% mark by Q4. So I think that we should be seeing sequential improvements throughout the rest of the year. Where I think the opportunity lies, we are seeing the benefit of some of the initiatives Patty's talking about in terms of the Q1 performance and we expect those benefits to continue in the Q2 and beyond. Patty, any other thing you'd add?
Patrick Finn: Adam, that was bang on. I mean the team continues to execute well on gross margin activities. It's part of our culture which has been spectacular to watch that grow and expand across the organization. I'd say that there's more or multiple small mid-sized opportunities to continue to improve, including the use of our own enzymes which first of all we're thinking about that for new and innovative products. But we can get some leverage internally too to help us with margin expansion.
Operator: Thank you. And our next question coming from the line of Brendan Smith with TD Cowen. Your line is now open.
Brendan Smith: Great. Good morning. Thanks for taking the question. That's actually a perfect lead into my questions just because I wanted to ask a little bit more about kind of just double-click on the proprietary enzyme production that you all talked about now. Just wondering if you can speak a little bit more to the extent of GM leverage we might expect from this ongoing work. And I guess I'm really just looking to understand a bit better maybe which processes internally this could apply to more specifically and which there was like you see as prime to improve with this and potentially thoughts on timing to some of those synergies that we might see us just as we try to model out the next few quarters. Thanks.
Patrick Finn: Good question. I mean, we're very, very high throughput synthesis company. And so there's some standard procedures internally that will really benefit from internally manufactured enzymes. In addition, obviously, supply chain security and being vertical there is incredibly useful. We also see leverage into our products' top-line growth driving new and innovative products out to market that really serve the customer base well. In terms of timing, it really is all baked into our guidance. So I think that said, we would be consistent with that. And we've got a good portfolio of products coming. We're excited about that future and that product offering.
Operator: Thank you. And our next question coming from the line of Vijay Kumar with Evercore ISI. Your line is now open.
Vijay Kumar: Hey, guys. Good morning and thanks for taking my question. I just had one I guess guidance P&L related question. The gross margin here in Q1, when you look at the sequential performance, even if sequential revenues drop down at 100%, I think we're having a hard time getting to 48%. Were there any one-offs that drove that 48% gross margin in the quarter? In the related sort of guidance question, the beat mostly came from NGS and Biopharma, but I think the guide raise is more coming from SynBio and BioPharma. So any I know you stopped disclosing order activity levels but anything from a customer activity levels that gives you confidence in why SynBio should be better and NGS perhaps is perhaps in line with your prior guide?
Adam Laponis: Vijay, thanks for the question. I'll try to hit on each of the points, but I'll ask others here to jump in. In terms of the gross margin, it was accelerated this quarter to step up. We almost roughly three points of improvement quarter-on-quarter. When you look at it, I think, there is obviously we're starting to see the real benefits of the continuous process improvements along with the revenue growth. Nothing in it that's one-time in nature other than as we continue to activate the cost improvement programs. We expect more of that moving forward. But I'd say the step up we saw was outsized this quarter, but it should be sustainable. In terms of the products in the guide, yes, we did see -- we're encouraged by the progress not just in terms of revenue, but also on orders on the Biopharma side of the business. And while it's still early and the business is still -- we're finding our early shoots of opportunity. We definitely see some more confidence in that side of the business. So that's what we're stepping up a guide in. And the SynBio side, I think what we're seeing is better visibility into the later quarters of the year. I think as we initiated the guide, we were appropriately had less visibility to how things are progressing, particularly on some of our new innovations and launches. And as we're seeing that take hold and traction, we're adjusting the guidance accordingly. So, a lot of confidence across all three areas, product lines, and we expect to continue to see that sequential improvement across them in subsequent quarters.
Operator: Thank you. Our next question coming from the line of Matt Larew with William Blair. Your line is now open.
Matt Larew: Hi. Good morning. I want to get back to the Express portfolio. You're now about one year a little over one year since you launched starting with Express Genes. Just curious if there's any data points you can share around sort of new customers relative to legacy customers converting retention rate or wallet share conversion for those that were initial early adopters? And then obviously, you've had a couple of competitors since you launch come out with sort of products in response. And so maybe just anything around the win rate or what you've observed in the market as customers have been able to compare your Express offerings versus others?
Emily Leproust: Thank you, Matt, for the question. Yes, it's a little bit more than a year, it's been a great year. The Express portfolio broadly has been definitely one for the record books at least. The most important thing I think to start is that it does what it says on the chip. So it's sort of at the end of the day customer satisfaction and we try to be very clear in what our products will do. And we want to make sure that the experience that we get is what we had told them, which is not always the case more broadly in the industry. So that's number one, it says what it does what it says on the chip. The second thing is everything we do is Express. So it's not just that we are skipping the line. It's not just that for a small fraction of the capacity, it's everything is made Express. It's a lifestyle. And that leads me to the third is that because of those two things, customer satisfaction has been really, really high. And so, we were able to achieve all of our objectives, which was ramp revenue to ramp gross margin. Now we're very pleased that 75% to 80% of revenue growth has been dropping to the gross margin line for many quarters in a row. And Express Gene has been a contributor to that. Actually this year, no, this quarter, we did 81%, but not all those two, we were going for 75% to 80% quarter-by-quarter. And it brought net new customers. So overall a great success. In terms of competitor response, we saw the press release like everybody else. I think our competitors had express offerings before, but their express offering was limited in terms of capacity and we don't think that has changed. And the price point that we offer is very differentiated. And so frankly, we don't really see that. So it probably made for a good press release. But at the end of the day, you're only as good as the numbers to you are. And when we study their earnings report, I think the numbers are going in the same direction as ours.
Operator: Thank you. Our next question coming from the line of Puneet Souda with Leerink Partners. Your line is now open.
Puneet Souda: Yeah. Hi, guys. Thanks for the questions here. So appreciate the gross margin comments and it's good to see the improvement there. But my question is more about the overall growth given the backdrop of the market and what you're hearing from your customers. I mean, is it fair to say that the NGS and liquid biopsy remains an important growth driver for you? And I mean, when we look at that guide, you didn't raise the top end of the guide. You raised -- you narrowed the guide on the bottom end. So just wondering, I mean, when you look at the backdrop of the academic market, which is under pressure, the clean tech markets SynBio, some of that is under pressure too. And just given the challenges there, the fact that you have divested assets in Biopharma already. How should we think about the growth in the NGS and diagnostic customers just given the context of the guide? Is it just, I mean, are we early in the year, that's why you want to be prudent there or is there -- could you elaborate a little bit more on the NGS guide and how you thought about it?
Emily Leproust: Yeah, thanks for the question. A quick clarification. I don't think we divested Biopharma assets. I think the way we saw it is we monetized it. And so we sold half of the future milestones and royalties in exchange of $15 million, which we've received. So that was a prudent thing to add a little bit of execution and make sure that we can achieve our goal of adjusted EBITDA breakeven without raising capital. In terms of the guide, we always want to be prudent. And you are correct that there is some uncertainty. But I think if we look back to the last few years, we believe in the uncertainty of Biopharma funding. I think we've done really well there. And I don't think it's by accident. We just have over the year built products that are highly differentiated. Thanks to our technology. So that technology plus information with our commercial violence means that in any market, we'll do well and in a market where there is turbulence maybe we have the opportunity to do better. I think that's how we're going into this. Again we, fundamentally, we have great products with very low viable construction. And I think we'll use our differentiation in products and our channels to be able to ramp top-line. And as we ramp top-line, we see now eight quarters in a row that gross margin goes up. And the last thing for us to do is to exercise OpEx discipline, which we've done. So the goal is to frankly do more of the same and use our winning recipe.
Operator: Thank you. Our next question coming from the line of Doug Schenkel with Wolfe Research. Your line is now open.
Doug Schenkel: Hey, good morning everybody. Thank you for taking my questions. So just two things I want to talk about real quick. First, your number of customers increased by 11% year-over-year, which in itself is impressive. What I think potentially gets lost in that number is the possibility of more deeply moving into customer accounts. And what I'm getting at there is I believe the way you define a customer is something like a total university or a total company. And I think what gets lost in that metric is the opportunity to penetrate multiple labs or so-called sub-customers within each customer. Are we thinking about that right? And if so, where are you in more deeply penetrating accounts and capturing share after you establish a beachhead? Is that a metric you track? And I guess the second thing I just wanted to ask is, given the geopolitical backdrop, NIH uncertainty, all those sorts of things, how are you kind of drawing the error bars around guidance especially in the face of uncertainty how are you capturing that in guidance that's maybe a little bit different than in years past? Thank you.
Emily Leproust: Thanks, Doug. Great question. So I'll enter the first question and Adam will cover the second one. In terms of customer count, you're thinking about it exactly right. That's what's happening. I'll take the example of Stanford because they're in our backyard. Stanford for us counts as one customer. But as our commercial results progresses, we are gaining more and more labs within Stanford. But in terms of our reporting number, the number stays the same. And so the way we look at it internally is number one, supplying growth, right? So it's all about revenue growth within an account, and that's very important. And then second is bringing new users from that one account. And so that number is not reported. But that is something that we're definitely tracking internally. But I think you said it very eloquently. We have to do two things. One, we have to land on new accounts, so get on more beachheads. And then once we're on the beach, we want to penetrate that account as quickly as possible. And typically we get in through one lab. But as we delay our customers or our products, we are able to get recommendations to auto labs buy from us and that's how we get more wallet share.
Adam Laponis: To discuss the guidance portion of it, I think it's important to take a step back and think about where is our customer mix. And so when we were building our guidance and we're thinking about it, one of the things we recognize is academics, although an extremely important element of the business is a relatively small portion of the business. Globally, about 20% of our volume is in academia and only a fraction of that is in the US. And so what we are looking at and we're seeing is while there is some uncertainty with the short-term in funding, I think Emily said it really well. We see that uncertainty as an opportunity to take market share. And specifically I'll look at something like NIH where we know we are very under-indexed in NIH-funded activity. And so therefore we are actually seeing an opportunity to take share and given we offer the opportunity for, at lower price, higher speed and higher quality, we offer the opportunity for more shots on goal. So the science won't stop and we'll continue to take market share. And I think if you look at our guide, our confidence in these uncertain times is that our vast array of offerings across a wide type spectrum of customers is inherently protects us and insulates us from some of the noise. But also any uncertainty we see as a long-term opportunity to take share. And so we're very bullish on the outlook, but we're also recognized that in any given week, as things move, we've got to be able to respond to that as well.
Operator: Thank you. Our next question coming from the line of Sung-Ji Nam with Scotiabank. Your line is now open.
Sung-Ji Nam: Hi. Thanks for taking the question. Sorry if I missed it, but are there specific milestones anticipated for the DNA storage segment over the next 12 months to 24 months? Thank you.
Emily Leproust: Yeah, thank you, Sung-Ji, for the question. So the technical milestone that I expected are all related to being able to store data at a terabyte scale using our technology. So there's a few components to that and doing that in a data in data out manner. So the first one is definitely first the CMOS chip, the silicon chip. So we demonstrated the technology for the gigabyte scale, but now we're working on the terabyte scale. Second one -- second aspect to it is developing the enzymatic synthesis method to build DNA on the silicon chip. The way -- we are the leader of chemistry for DNA synthesis, but for data storage, we do need an enzymatic approach such that our synthesizer would be able to sit in the data center. So there is no flammable liquid. And we're making very, very good progress on the enzymology. There we have a great team doing that. So those, I would say, are probably the two most prominent milestones. But in addition, we also need a writer of an instrument. So our hardware, our writer where the silicon chip sits on and where the enzymatic chemistry happens. And so we're working on that. And then maybe the last element is the software. Very similar to the manufacturing system that we have for the rest of our operations. We do need software to keep track of the data, the information, the tube where the DNA ends up in. And there's always a question of do you buy a software like that? How do you make it yourself? Historically, we've done the analysis that our needs are so custom that it is better to build it. That's what we've done. Our manufacturing system is a key component of our success. And so we also have to work on the integration of those four things, silicon, chemistry, the hardware and then the software altogether. So those are the milestones. It sounds daunting, but it's not, it's just really hard engineering. Hard engineering is what we do. And maybe the last thing I'll say is that because we are very disciplined in our spending, we're at the point where progress in data storage is proportional to the amount invested. If we were, as you know that, there are some time in projects, you spend more money, you don't go faster, but we're past that. So now in data storage, if we could spend more money, we will be able to go faster. But we make the decision as management around capital allocation is probably one of the most important decisions we have to make. And right now we are not allocating as much capital to data storage as they could use. I think it's the right decision to do. There is no fast forward and but that means that progress is not as fast as it could be. However, I think all-in-all, that's what we need to make sure that we achieve our goal of adjusted EBITDA breakeven. Thank you.
Operator: Thank you. That concludes our Q&A session. I will now turn the call back over to Dr. Emily Leproust for any closing remarks.
Emily Leproust: Thank you for your time and thoughtful questions today. We're excited about the opportunities ahead as we continue to innovate, execute and drive value for our customers and shareholders. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude today's call and you may now disconnect.